Santiago Donato: Good afternoon, everyone. I'm Santiago Donato, Investor Relations Officer of Cresud, and I welcome you to the Third Quarter of Fiscal Year 2024 Results Conference Call. First of all, I would like to remind you that a replay of this webinar, the presentation and the earnings release will be available on our website at www.cresud.com.ar. After management remarks, there will be a question-and-answer session for analysts and investors. If you want to make a question, please use the chat. Before we begin, I would like to remind you that this call is being recorded and that information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Alejandro Elsztain, CEO.
Alejandro Elsztain: Good afternoon, everybody. We are beginning our conference of the third quarter of 2024. And we can begin in Page #2, looking at the regional campaign progress. We had a little lower than what we expected at the beginning campaign because of some bad conditions on climate and prices. The 2 effects made us to have a little lower total planted area, so -- comparable to last year but a little lower than expected. And we delayed because of climate and not enough water on plantation, and sometimes because of the bad prices with very small margins, so there was a small decrease of hectares comparing year-to-year. Related to climate, Argentina, and mainly humid part of Argentina, received normal or good rainfall comparing last year that we lost almost half of Argentine campaign. So we are going to see a big rebound. We are going to see the numbers. So the agriculture for Argentina mainly was very well affected this year. Related to Brazil and Brasilagro, they are lower productive results because of mainly climate and lower prices. The lower prices, one that was really very affected was sugarcane, affecting a lot the price of the -- of our plantations on sugarcane, mainly Brazil, and some climate in soybeans and other products made very lower results operational comparing to last year numbers. Related to real estate, we show in the first month only 2 transactions in Argentina, 2 small transactions, and they are bringing some gain. But there is a big transaction coming on the fourth quarter related to Chaparral farm in Brazil that is bringing a sale of BRL 365 million, that will be recognized in the fourth quarter, so next quarter ending on 30th of June. We achieved, with all what I said, an accounting loss of ARS 25 billion and a gain of ARS 22 billion for controlling shareholders. And the main explanation of this effect, it's because Cresud consolidates it's balance sheet. That brings a negative number. So when you discount the minority that you don't own, you go to a positive number, mainly explained by good results related to Argentina and our service company called FyO. So meantime, in May of this year, we approved a new dividend for ARS 30 billion that it's going to be distributed these days, the 14th of May. Saying that, we can move to next page. Here, we can see the maps of Argentina and Brazil -- and we see the expected for 2024 campaign. Argentina -- now you see not a drought normal or more than normal related to rains in the south of Argentina in the humid Pampa. They all convert. And with Brazil with lack of rains, mainly the one that was more affected was Mato Grosso, where in that region, there are some places that really fails a lot in their harvest. So when we speak about the total deal -- we -- now we are harvesting in soybeans. Argentina, is in 30%, in 11% in corn. So it's the beginning of the summer campaign. Bolivia is almost done. Brazil, in the case of soybean is almost done, but in corn due to begin. Paraguay is close to 0. it's not beginning still. So in the total region, soybeans were 62% and in the corn 9%. Related to winter, to wheat, that was done in December, it's all done. It was a very positive number, and we are going to a good number on that when Matias will explain balance sheet is related to with results that were very good too. What we see in next page, in Page #4, the planted area is what I said at the beginning, a small drop, 2%, comparing year-to-year, 293,000 hectares to 278,000 hectares. We expect it to grow this year, but because of that lack of rain in some places, mainly north of Argentina, mainly in Paraguay and in some regions in Brazil, and not planting corn in regions that the breakeven was very close because of the price decrease of the corn, we decided not to increase but to a small decrease. And that's why, and we can move in the next page, combining with the lower international prices, we saw last year a big decrease in the 2 -- in the 2 main asks, soybean and corn, but in the sugarcane too. So in the 3 main products of Cresud and Brasilagro, we saw a big decrease on prices, and a very small rebound in the last 2 weeks. We began to see some increase in the prices in the corn, soybean related to weather, market weather now is beginning the plantation in U.S. We are finishing our harvest in South America. We are suffering some flooding in some part of Brazil, but this is in the corn, in the north of Argentina, affecting the corn, but it's really a big effect in the market. It's really, it's beginning to be nervous because of that effect on the yield of Argentina and Paraguay and some Brazil. So there is some climate conditions on the harvest and the weather market looking at U.S. planting for next campaign. But really, comparing year-to-year, this was a much lower operational, but Argentina that recovered a lot from the dusts of last year, and the prices really are very affected because of market conditions. And if we come to -- go to next page, in Page #6, there is something very material for Argentina, that, after the election of the new government, there was a big devaluation. And here we see the effect to the official went from ARS 366 per dollar to ARS 800 in a day. So that was a big gap at that time between the 2 dollars, the blue chip swap to the formal was 2 or 3x higher. So the farmers were really, the Brazilian, very low to the regular dollar. But now after this new measures, farmers are in a gap of 20%, something like that, plus the blend the farmers received less than 20% gap. So really, farmers are in a much better shape. And this is benefiting a lot to the farmers of our country. And if we move to next page, in the Page #6, we see a little deeper the crop production. We have like a stable size in the region, the crop production is 1,000 tonnes. It's close to these 800,000 tonnes, combining Argentina and the rest. We see the evolution of sugarcane to stable this year, better than last year in yields, 2.1 million kilograms -- 2.1 million tonnnes of sugarcane in the region, mainly Brazil, but some in Bolivia. Crop yields a little better when we compare it to last year, very affected to the humid part of Argentina. This year, not but some climate conditions, we see a 7% better in soybean yield, a 2% in corn yields. So it's more stable year related to yields, but lower prices, as I said before. There is one effect affecting our balance sheet, and we brought the page to show it, Argentine beef, the cattle price evolution. The blue -- in the Page #8, we see the blue is Argentina. And when we make the price of Argentina in the real dollar, not in the official dollar, in the blue chip swap, here we see that the dollar, there was a big rebound on the cattle price. And this year, we are having a very good margin in cattle, in 9 months, this is not a year. Last year's our numbers for the whole year. But last year, 9 months were $3 million. This year, for 9 months, we are at $6 million in the cattle activity in Argentina. Argentina represents 6,100 heads, the rest 24% is in Brazil and Paraguay. So good year, helping the balance sheet for cattle business in Argentina. And talking about the real estate, the 2 transactions that were explained before, the small portion in Los Pozos, the small portion in Le Tigre. There thy are the 2 sales, but there is a big transaction coming in the fourth quarter, and we brought a little more information. We sold 12,000 hectares from those [indiscernible] land, 8,800 hectares, and we have still 25,000 hectares on that farm. So this is a small sell for that farm. We sold for BRL 365 million. From those, BRL 53 million were collected. And they are going -- when we give position to the owners, we are going to present that on the balance sheet in the fourth quarter of this year, that made an 8% internal rate of return in dollars, and the gain will be recognized more than BRL 200 million on the fourth quarter. Saying that, we can move to the next page. In FyO numbers, FyO our agricultural commercial service, remembering that Cresud makes the activity in 3 steps. One is the operational, just rains, sugarcane, cattle, one is the real estate, and the third, the service part. And here, we see the evolution of our company called FyO that is recovering -- last year had a drop because Argentine suffered and went to almost half, but FyO didn't suffer so much and made a very good year in the 5.5 million tonnes. This year, we are planning to have more than 7 million tonnes. And this company is making a huge EBITDA. So we are going to see on the balance sheet, the proportion of this bringing, it's like another big step for our strategy. And here, Cresud owns 51% of the company. This is not only volume of selling, trading, commercial services, service inputs, advising to farmers, not only in Argentina going to the region. So this is a new step that is becoming relevant and more relevant every quarter. Saying that, I will now introduce Matias to talk about some of our investment in IRSA.
Matias Gaivironsky: Thank you, Alejandro. Good afternoon, everybody. So about our investment in IRSA, remember that we control IRSA with almost 55% of the shares. We have mixed results during the quarter. On the 9-month period, we posted a loss of ARS 111 billion. That was mainly explained by the fair value of our investment properties. Remember that we value shoppings, offices and land bank at fair value. And when we have to give impact to the devaluation and inflation over those properties that remain stable in dollar terms, that generate a loss in pesos term. If we see the 9 months adjusted EBITDA, we posted a gain of ARS 112 billion. That is 9% above the same figures than previous year. But when we open a little more that number between the first 6 months and the last 3 months, we will see that there is a decrease in our EBITDA in the last 3 months that is related to the normalization of the macroeconomic situation of Argentina. After the evaluation and the acceleration of inflation, our tenant sales have been decreasing in real terms, and that is the effect that we see also in the EBITDA. Regarding the tenant sales, as I mentioned, there is an dis-acceleration of consumption in the last months in Argentina. There is some -- real wages were affected, and there is some reduction in consumption. About the occupancy, in all the segments, most offices and hotels remain at very high levels. On the financial side, IRSA concluded buyback programs that acquire around 1.7% of the shares in the market, and also approved a dividend of ARS 55 billion that Cresud already collected our part. About the -- on the right side, the rental EBITDA in dollar terms, we can see that numbers remain stable, $161 million of last 12 months EBITDA, that is 23% above the pre-pandemic levels and slightly decreased against the figures in fiscal year '23. Going to the next page. To understand the financial results of Cresud, first, we need to understand what happened on the macroeconomic side. There was a devaluation in December, and then the FX -- the official FX was stable with an evolution of only 6%. And the inflation in that period accelerated to levels of 52% during the quarter. So with this, we can see on the bottom left that the official FX in real terms only increased by 7% during the quarter or during the fiscal year, against an appreciation last year of 4%. And in the blue chip swap, also we can see that the dollar remained stable compared with December. And in real terms, that is a strong appreciation of the peso in that period. So moving to the next page. We can see on the [indiscernible] business side that our operating results are much better than the previous year. Remember that the previous year we have a strong drought in Argentina, so there is -- and now this year is much better in terms of weather conditions. So we will have positive numbers. Somehow compensated by lower prices. Prices are, in grains, around 20% below previous year, that somehow compensate the increase on the production. When you see the farming sales, as Alejandro mentioned, during this year, we have only the 2 transactions that we did in Argentina. The next quarter, we will have the big impact on the transaction on Brazil. So we expect to see an important number there. FyO, our agricultural service company, are showing better results. And when we opened the farming activity, we see much better results in grains that is related mainly to Argentina that we have better yields, similar surface, and lower prices compared with the previous year. And in Brazil, that is -- the production was very affected by prices. The sugarcane is the same. We see a strong decrease in prices, and that generated that loss. Sometimes when we convert numbers of pesos -- or dollars into pesos, we have the impact of the inflation. So we have here to give impact on real terms of the pesos that sometimes generate distortions in the numbers. If we see the production maybe in the case of the cattle, Alejandro showed, good results. But when we give impact to the inflation adjustment, part of the increase is allocated to the inflation. Going to the next page. So leaving aside the change in the fair value, we see an operating income increasing by 122%. And then regarding the fair value of investment properties here is mainly related to IRSA. All the properties remain stable in dollar terms, but when we express those dollars into real pesos, we see this loss of almost ARS 377 billion, that really affect the net income line. About the consolidated financial results, the net financial results, we see a gain of ARS 93.6 billion, mainly explaining the first line of fair value of financial assets. This is to all the liquidity, mainly of IRSA and FyO that was exposed to dollars. And with the devaluation, we generate a positive result. The net income, there is a reduction that also Cresud was exposed having pesos debt that in real terms generate gains, and then the inflation adjustment that generated a loss of ARS 15.6 billion, and the net FX results also in the devaluation of ARS 12.3 billion compared with a gain last year that was an appreciation of the peso. About the dividend, we decided to distribute dividend in advance of our shareholders' meeting of October. So the amount was decided was ARS 30 billion. That was a dividend yield of around 4.5% that we will start to pay since tomorrow here in Argentina. And regarding our ADR holders, we expect the payment to happen in the next 20 days. And finally, on Page 18, we have the evolution of our net debt that we can see a reduction -- $303 million that is distributed in the coming years. So no concentrations of amortizations in the short term. During the quarter and after -- during April, we issued 2 new series of debt in Argentina. So we raised $74.4 million. Part we did in pesos term and part in dollars at a coupon of 6%. So there is still availability of financing in Argentina at good rates, and Cresud is taking advantage of that. So with this, we finish the formal presentation. Now we open the line to receive your questions.
Santiago Donato: Thank you. Well, now it's the time for the Q&A session. [Operator Instructions] Yes, there is the first question. If you could speak to how management thinks about the best path forward continue to harvest the discount to value, we are seeing across IRSA and Cresud in the market. Is there a preference between repurchasing shares, dividends and/or continuing mix of both? And if there is a healthy appetite to do so in the future. I don't know, Matt, if it's clear, but I think it's related to the arbitrage between IRSA and Cresud in the last days.
Matias Gaivironsky: Yes. We always think our own capital structure and try to be active on that. And we have been doing in the last years, we decided not to be so aggressive on the CapEx side because we saw good opportunities to keep buying back shares or paying dividends, thinking that, that could help in reducing our discount. We are trying with an important discount against our NAV. Preference between shares and dividends. We will do -- always the way that we decide is to analyze liquidity, level of debt and CapEx plan. So it's tough in Argentina to fix a policy because the volatility of Argentina. So sometimes appears opportunity that we try to take advantage. So it's tough to say something that will be fixed in the future. But if we see our behavior in the last years, we pay dividend every time that we could. We buy back shares with the limitations of the regulation, now it's not easy, or that we have to fulfill the regulation and there is a certain amount of shares that we can buy because that is limited by the CMB, the local SEC, about the volume that we can do per day. So it's a little limited by the liquidity that we have in our shares. But it's something that we like and we will keep doing if we see this gap and discount on our shares.
Santiago Donato: Yes, there is a question related to the amounts of the warrants of Cresud. If we are going to update it after the dividend, the strike price of the warrant.
Matias Gaivironsky: Yes, that, according to the warrant agreement, every time that we approve dividends, we have to give impact to the strike price and the conversion ratio, to give impact of the dividend. Now the idea is that the warrant holders will have the same rights than the shareholders. So if we distribute a dividend, then we have to reduce the price of the strike, so that will happen after tomorrow that we will distribute the dividend.
Santiago Donato: And additional question on that same question, which is the dollar that you take into account to exercise the option?
Matias Gaivironsky: The dollar is implicit exchange rate between the ADR and the local shares. It's the [indiscernible] exchange rate now, but we are using our own shares to calculate that amount. The idea was always our shares trade with that gap of the blue chip swap. So the idea was not to put -- we did it at the beginning, now not to use the official exchange rate. So to use the exchange rate that is implicit in our shares.
Santiago Donato: Waiting some minutes more if there is any additional questions. Can use the chat. Okay. If there are no more questions, we conclude the presentation and the Q&A session. And now we'll turn back to Alejandro Elsztain, CEO, for his closing remarks.
Alejandro Elsztain: We are finishing the next quarter of the year. We are planning a good campaign for next. We are finishing this one, understanding that the margin in the operational won't be as good as expected because of drop of prices. And expecting the yields are going to keep as they are. And we are finishing, and this is going to be finished with majority before the 30th of June. Some minority will remain up to July with the corn. And we are beginning now to budget and to plan next year. And so we -- the combination of these 3 strategies, the operational and increasing, we are thinking on increasing again for next year the size in plantation in the combination of the real estate. Every time the farm is ready, sell it and buying in another region. And the service, the 3 are the same. We are very optimistic on the future of Cresud. So let's see how we finish next year in the 30th of June. We are going to present those numbers in September. But we are optimistic on that. And in the case of IRSA, IRSA is bringing very good numbers, the same. So very good recovery in the financial situation. So all the assets of Cresud are really in a very, very good shape. And a big decrease on the debt that we saw comparing year-to-year. So we are optimistic on the strategy of Cresud. Just to thank you, everybody, for this time. And in the next quarter, we see you then. Bye. Thank you.